Operator: Good afternoon, everyone, and welcome to the Maravai LifeSciences Second Quarter 2025 Earnings Results Conference Call. [Operator Instructions] Also, today's call is being recorded. [Operator Instructions] Now at this time, I'd like to turn things over to Deb Hart, Senior Director, Investor Relations. Please go ahead, ma'am.
Debra Hart: Good afternoon, everyone. Thanks for joining us on our second quarter 2025 earnings call. The press release and slides accompanying today's call are posted on our website and available at investors.maravai.com. During today's call, management will make forward-looking statements and refer to GAAP and non-GAAP financial measures. It is possible that actual results could differ from management's expectations. We refer you to Slide 3 for more detail on forward-looking statements and our use of non-GAAP financial measures. The press release provides reconciliations to the most directly comparable GAAP measures, and we also post reconciling schedules to the IR website. Please also refer to Maravai's SEC filings for additional information on the risks and uncertainties that may impact our operating results, performance and financial condition. Now I'll turn the call over to our Chief Executive Officer, Bernd Brust.
Bernd Brust: Good afternoon, and thank you all for joining. I'm Bernd Brust, and I'm very pleased to be hosting my first earnings call as Maravai's CEO. I'd like to begin with my reasons for accepting the role as CEO, and in this context, frame for investors the incredible opportunities I see ahead for the company. Over the past 30 years, I've been a leader of many successful life sciences companies that have experienced both growth and transformation. My approach centers around alignment, strategic clarity with operational discipline to drive meaningful, measurable results. I've had the rare opportunity to work directly on a long list of breakthrough technologies in the life sciences sector, including in multiple CEO roles. Most recently, I was the Executive Chairman and prior to that, the CEO of Antylia Scientific, a global provider of tools and solutions for diagnostic testing, sample preparation, biological monitoring, and environmental analysis. I've known Maravai as a technology leader that delivers meaningful innovation to market. When I was approached about the CEO role, I took a close look, and what stood out to me was how rare it is to find a company in the life sciences tools space with this combination of proprietary technologies, trusted brands and untapped market opportunity, and one I was excited to help shape. I came into this role with a clear understanding that realizing Maravai's full potential would require change. There's important work ahead to position the company for sustainable, profitable growth. I've spent my first 60 days understanding where we stand and where we can go next. We completed a top to bottom review of our strategy, structure and financial plans to sharpen our focus and reallocate resources toward initiatives with the greatest potential for impact and return. Through direct engagement with global customers and competitive benchmarking, we gained a clear view of where we lead and where we must sharpen our focus to win. I've spent time with team members across the organization and gained a clear view of what's working and where we face challenges. I've been encouraged by the expertise and dedication of our people, but to move forward we need to build a stronger culture of accountability and help our teams execute with focus and purpose. From these learnings, we've established a 3-part plan to put the business on the strongest footing to deliver on Maravai's full potential. Let's turn to Slide 6. First, we are making a commitment to improve operational excellence and execution. On Friday, we initiated a restructuring plan designed to significantly reduce our operating costs. Through reductions in headcount and nonheadcount related expenses across all functions in our organization, we expect to lower our annualized expenses by more than $50 million. These reductions will be phased in and should be completed over the next 12 months, with the majority of the savings actioned on in the next 2 quarters. As part of the restructuring, we're evolving from a more complex structure with higher overhead to a streamlined, functional operating model. This includes consolidating executive roles and removing layers to accelerate decision-making, reduce duplication and foster greater accountability and cross-functional collaboration. One key change is to provide centralized oversight for TriLink R&D projects to ensure ongoing innovations are providing impactful value to our customers and the largest returns for Maravai. These decisions are never easy, especially when they affect valued colleagues. But the challenges Maravai has faced post pandemic call for urgency and clarity in how we move forward. We're approaching this process with care and respect, focused on minimizing disruption to our customers and positioning the company for long-term profitability. I'm confident these organizational changes will strengthen the business. Raj will provide more details on these changes later in the call. Second, we are focused on strategic levers for long term value creation, starting with revenue diversification and growth across each of our businesses. For Biologics Safety Testing, or BST, this includes maintaining and building on our market leadership. We are investing in the development and launch of new analytical products tailored to the evolving needs of our biologics and cell and gene therapy customers. This investment not only supports our existing base of global biopharma customers but also opens the doors to emerging players who require scalable and compliant testing solutions early in development through commercialization. We believe this business represents a highly valuable standalone platform. It has high penetration across monoclonal antibody based products, recombinant vaccines and all FDA and EMA approved CAR T cell and gene therapies. With high contribution margins and a foundation of recurring demand, Cygnus is not only a core strength, but it's a strategic asset. We recognize the standalone value this segment represents, and we're committed to ensuring that this value is more clearly appreciated by the market. While the nucleic acid production, or NAP business, navigates a period of macro and political headwinds, our BST segment provides visibility, diversification, margin stability and capital allocation flexibility. Within the NAP business, we are building on our GMP consumables capabilities. We see this as an area where we hold a distinct advantage. Our large-scale GMP capabilities are unmatched, and we are actively expanding our product portfolio to support future mRNA applications, particularly in therapeutic categories such as oncology, autoimmune conditions and rare diseases. This is a fast evolving market and our ability to deliver reliable, high quality, and scalable GMP products positions us as a key partner to our pharma, biotech and CDMO customers. For our CDMO business, we continue to make strong progress supporting customers from preclinical through commercialization. We're not just a supplier but an extension of our customers' teams working side by side with them every day. This trust and partnership leads to stickier relationships, helping us win follow-on contracts as our customers' program advance. It's a key driver of both near-term revenue and long-term customer relationships, increasing the likelihood that we'll support programs from early research through commercial launch. And for our research customers, we are broadening access to our technologies through innovation and expanding our consumables portfolio. We are also investing in our e-commerce infrastructure and AI capabilities to provide a more streamlined commercial experience for our research customers. This month, we are launching a new version of the mRNAbuilder, our online ordering tool for custom mRNA that allows customers to design, order, and build RNA using our products. This tool is the first of several planned upgrades to our e- commerce platform. These initiatives are central to our future growth and position us well for long-term success. Third, with these actions in place, we will get the benefit of the margin flowthrough to return to sustainable, positive, adjusted EBITDA and free cash flow by the second half of 2026. As a CEO, I have to make the tough calls that are in the long-term best interest for Maravai and our shareholders. We were structured for a much larger company than we are today. And these actions will align the business to our current reality and allow us to grow revenue and profitability from here. We have great science and technology, and I'm optimistic that we are going to have a great future. While there is more work ahead, and we continue our comprehensive business review and complete our budgeting process, I'm confident in our team's ability to execute and be energized by the opportunity to build a stronger, more focused company for our customers, employees and shareholders. We have a clear plan and are moving quickly to return Maravai to growth and profitability. Now I'd like to introduce Raj Asarpota, our new CFO, who joined Maravai on June 30. As you can see on Slide 7, Raj brings over 3 decades of financial leadership experience across both public and private organizations as they went through significant transformation and growth. I have personally worked with Raj at General Electric, Life Technologies and Antylia Scientific, and I value his leadership and financial stewardship as we continue building Maravai into a scalable, profitable and free cash flow positive business. I will now hand the call over to Raj.
Rajesh J. Asarpota: Thank you, Bernd. I'm incredibly excited to join Maravai and partner with you as we embark on the next chapter for the company. I firmly believe we can unlock the full potential of what this company can deliver to both its customers and stakeholders. It's clear to me that we have a world-class team and cutting-edge technology and the opportunity ahead of us is truly unique. We are laying the foundation to drive operational excellence and disciplined growth as we strategically size and scale the business. Now let's turn to the Q2 financial results on Slide 9. Revenue for the quarter was $47.4 million compared to $69.4 million in Q2 of 2024. Excluding revenue for high-volume CleanCap, base revenue was up 5% for Q2 versus 2024. The Nucleic Acid Production, or NAP, segment had revenue of $31.1 million in Q2. The Biologics Safety Testing segment, or BST, revenue was $16.3 million in the second quarter. I will discuss segment results a little later in the call. Revenues by customer type in Q2 were 28% biopharma, 30% life sciences and diagnostics, 8% academia, 7% CRO, CMO, CDMO, and 27% through distributors. Revenue by geography was 65% North America, 18% EMEA, 12% Asia Pacific, excluding China, and 5% in China. Turning to Slide 10. Our GAAP net loss before noncontrolling interest was $69.8 million for the second quarter of 2025. This compares to a GAAP net loss before noncontrolling interest of $18.4 million for the comparable second quarter of 2024. Adjusted EBITDA, a non-GAAP measure, was a negative $10.4 million for Q2 2025 compared to a positive $13 million for Q2 2024. Moving to Slide 11 and EPS. Basic and diluted EPS for the second quarter was a loss of $0.27 per share compared to a loss of $0.07 per share in the second quarter of 2024. Adjusted EPS in Q2 2025 was a loss of $0.08 compared to a loss of $0. 01 in Q2 2024. Advancing to the balance sheet, cash flow and other financial metrics on Slide 12. We ended the quarter with $270 million in cash and $297 million in long-term debt. For Q2 2025, cash used in operations was $10.3 million. Depreciation and amortization was $13.2 million and interest expense net of interest income was $3.8 million in the quarter. Stock-based compensation, a noncash charge, was $6.8 million for the quarter. Next to Slide 13 and the discussion of segment performance. The NAP segment had revenue of $31.1 million in Q2. Base NAP business, excluding high-volume CleanCap, was up 3% year-over-year, driven by demand for TriLink GMP products. This was a sequential increase of $2.3 million from $28.7 million of base NAP revenue in Q1 of 2025, marking our second quarter of base revenue growth in NAP. Adjusted EBITDA for NAP was negative $7.3 million in Q2, highlighting the need for the cost reductions we have initiated. The BST revenue was $16.3 million in the second quarter, up 10% year-over-year. Adjusted EBITDA for BST was $10.9 million for an adjusted EBITDA margin of 67%. The strong year-over-year growth in BST business was driven by demand for Host Cell Protein kits and qualification services and increasing adoption of MockV viral clearance products. Corporate shared service expenses impacting adjusted EBITDA totaled $14 million in the second quarter. These services include centralized functions such as human resources, finance and accounting, legal, information technology, and the incremental expenses associated with being a public company. This is another large bucket of costs within the organization that we are significantly reducing with the cost actions announced today. Turning to Slide 14. Our strategic realignment and cost reduction initiatives are focused on improving how we operate by transitioning to a more consolidated and functional organizational structure. This approach reduces complexity, fewer layers, tighter team alignment and enhances our ability to operate with greater focus, speed and executional rigor. We anticipate more than $50 million in annualized savings allocated approximately as follows: 45% to 50% from labor, 15% to 20% from facilities, 15% to 20% from CapEx reductions, and 15% to 20% from other productivity initiatives. Importantly, these actions are not expected to impact customer programs or revenue. We remain fully committed to delivering the high-quality products, service and innovation our customers rely on. As Bernd noted, we expect the majority of these savings to be in motion by year-end, with the full impact realized in 2026. While these are difficult decisions, they're essential to restoring the company's financial health and enabling us to reinvest in targeted, purposeful growth going forward. In connection with these actions, we anticipate incurring restructuring charges of approximately $8 million to $9 million in the second half of 2025. These costs will primarily consist of employee severance, benefits and other related expenses. I'd also like to take a moment to address our guidance philosophy for the balance of 2025. As a new leadership team, we are committed to providing guidance that reflects a high degree of confidence in our ability to deliver. Given that we're still in the midst of a comprehensive commercial deep dive, we have made the decision to withdraw our prior guidance range. We will look to reinstate guidance once we have completed a full business review and have a clear data-driven outlook. In 2025, we have no orders for high- volume CleanCap. However, we are encouraged by early indications from a customer for high-volume CleanCap for shipment that is anticipated in early 2026. Finally, before we move to Q&A, I'd like to share a few reflections from my first 40 days. What I've seen is a company with tremendous runway ahead, and that's exactly why I was excited to join Maravai. In addition to the immediate actions we've taken, we believe there are further levers we can pull to enhance profitability. The finance team is working closely with our new functional leaders and the sales organization to identify and execute on these opportunities as part of a robust budgeting process. As part of this effort, we're also [ updating ] our commercial metrics, introducing bottom-up KPIs to validate our top-down market assumptions and strengthen accountability across the organization. We'll provide more detail on this progress in our Q3 call. Additionally, I'm addressing some of the operational headwinds we've encountered in the past, particularly around the audit process to ensure that areas within our control are managed with tighter execution and discipline. This includes onboarding a new controller and audit partner. I'm laser-focused on closing the year strong and I'm confident we are on the right path. I'll now turn the call back to the operator to begin the Q&A session.
Operator: [Operator Instructions] We'll go first this afternoon to Matt Stanton of Jefferies.
Matthew Jay Stanton: Maybe just to go back to the guidance philosophy. I mean, it sounds like you're still taking a closer look at the forecasting process. On one hand, you're pulling the '25 guide. At the same time, you're talking about cost actions and pointing to positive adjusted EBITDA and free cash flow in the back half of '26. So I guess how should we think about how you're feeling about the visibility, especially around the latter with the '26 targets? And then just given we're kind of midway through 3Q here, was there any thought to potentially shifting to some form of quarter-to-quarter guidance in the near term?
Bernd Brust: Matt, this is Bernd. Let me make a few comments on that, and then I'll see if Raj has anything to add to it. First and foremost, I think we've been onboard now for me less than a couple of months here. And our primary focus has been getting costs under control in this business. It was just something that was an obvious issue we had. We had to deal with that. That meant some changes to the commercial organization. Add to that, the announcements last week from Kennedy on some of the mRNA funding here, it's just important for us that we really get our arms around this and bring confidence back to the Street on the numbers that we share. Are there any specific red flags that we see that say, well, guidance that's been given is not correct, that's not it at all. It's just us having the right amount of time to really get our arms around this. As far as running this company in a positive growth on a free cash and EBITDA point of view, regardless of where these revenue numbers sit, we're going to run that in a positive way. I think we've taken some great steps to take the right amount of cost out of this business. Last Friday, we took those first steps by reorganizing the organization. But one way or another, wherever revenue lands, if that means that there's additional things that have to happen, we'll take care of that, although we have no indication that, that needs to be done at this point. So I think this is just a result of us just needing a little more time. The interesting part of Maravai, it's a fairly lumpy business, unlike the traditional life sciences tools, and certainly even Maravai before COVID, very much a run rate business. If you look at the business today, our average order sizes are materially greater than what a run rate business would be. That means you just have a little bit more susceptibility to performance by quarter, and we just got to get our arms around that. It's nothing more than that. Raj, anything else?
Rajesh J. Asarpota: Yes. I think I'd just reemphasize that Bernd and I are both committed to operating the business with an expense profile that can achieve positive EBITDA by the second half of 2026. As Bernd mentioned, with the restructuring, we also had to change -- we had to change out on our sales leadership side, which also impacts how we think about guidance. And then, Matt, your final question was around quarter-to-quarter guidance. We are not going to do that. Again, until we have our arms around the whole business, we're not going to provide that quarter-to-quarter guidance for now.
Matthew Jay Stanton: That's helpful. And then maybe just on 2Q. BST, nice quarter. I think typically, 1Q is seasonally stronger there. But if I exclude 1Q the last few years, I think 2Q was the highest dollars in that business going back to the back half of '22, if my math is right. So can you just talk about the durability of the improvement and solid trends you saw here in 2Q? And then can you just clarify that you are not seeing any pull-forward dynamics out of China or Asia in that business in 2Q? I know some other folks in the bioprocessing chain have called that out, just level of visibility into no pull-forward dynamics into that 2Q number.
Rajesh J. Asarpota: Sure. I'll take that. So you're right. On the BST side, if you look at the different parts of the portfolio, so like on our Host Cell Protein kits, which is basically our gold standard, those kits grew by 7% in the quarter, which again demonstrates our position that customers are remaining loyal even in this market uncertainty. MockV, that's been a great story. So that portfolio continues to grow at a super rapid rate. The adoption is really strong and there's a lot of confidence in that product's performance. Likewise, on qualification services, it continues to grow. We've got many, many repeat customers there. And our focus on tactical programs to engage on new accounts is also starting to work well. To your question around pull forward, we did have a little bit of that in China, but nothing too material. So right now, I think as far as the Cygnus business goes, it's very healthy and showing a good growth rate.
Bernd Brust: That said, though, I think 10% is incredible quarter. I don't think if you model that in, right, I think this business should be mid-single- digit top line grower for the moment, and we'll continue to optimize this business as well.
Operator: We go next now to Matt Hewitt of Craig-Hallum.
Matthew Gregory Hewitt: Maybe first up, regarding China, with the easing that we're seeing between the U.S. and China, do you anticipate that, that could become a growth driver? Do you think that, that's a region that could start to scale as we get into '26?
Rajesh J. Asarpota: Yes, I think so. I guess in one word, the answer is yes. We would expect that to be a good growth lever.
Matthew Gregory Hewitt: And then maybe a follow-up -- go ahead.
Bernd Brust: I'm sorry, I think just in general, right, if you look at the global markets, not just for biosafety, but just the Maravai product lines, the U.S. is going to see some, obviously, retraction given the defocus on mRNA. I think you're going to see continued increased investments in the non-U.S. regions, and we're well positioned to take advantage of those. That includes China, but I think other non- U.S. regions as well.
Matthew Gregory Hewitt: Excellent. And then maybe a follow-up question and a little bit different here. But regarding the CDMO business, how do the prospects or the potential for tariffs on imported drugs, how does that affect your business? Does that create incremental opportunity? And have you seen that in your pipeline? Or is everyone sitting on their hands waiting to see what's going to happen there?
Bernd Brust: I think it's more of the second at the moment. We haven't seen a whole lot move from there yet. Is there certainly an opportunity that if tariffs really settle in on this and make it economically beneficial for some of the non-U.S. manufacturers to move production to the U.S.? For sure, discussions we've had, I don't think it's anything we've actively seen. But in the event that were to happen, our facility expansions that have happened here over the last years position us incredibly well to take advantage of that.
Operator: Next now to Subbu Nambi of Guggenheim Securities.
Subhalaxmi T. Nambi: As you were reviewing different aspects of the business, were there things that you were positively surprised by, and then similarly, anything that you didn't anticipate would be very challenging but was challenging?
Bernd Brust: Well, that's a good question. I think any time you come into a new organization, as much diligence as you do, you will find surprises in the end. And I think if I reflect for myself here, and I'll let Raj make some of his comments, I'll lead us off with, again, saying it's fairly early days. Quite surprised by the amount of expenditure that's happened in this organization. It was really scaled for an organization so much bigger than we are. And I think that was a much greater extent than we even anticipated. The numbers that we are taking out of this business, and we feel we'll have fairly limited impact, if any, on our day-to-day operations shows you how heavy this organization was layered. Certainly, a big surprise there. I think on the positive front, I think if you look at the customer profile we are working with here, particularly in the preclinical through Phase III, there's a ton of activity going on there. We talk a lot about COVID vaccines and the impact of capping and how that grew this business, and that's really at 0 this year. But the fact that there is still so much activity going on with customers for that same portfolio, but again, primarily focused on oncology, autoimmune, rare disease kind of solutions, really positions the company incredibly well for, I think, where mRNA will go in the future. So that, I think, was an incredibly positive direction. And then you've heard us talk about our biosafety business in Cygnus. I think that organization has struggled a little bit in the past. You're starting to see that come around. There's some great innovation happening there, certainly a great brand around the world. We talked Asia a little bit ago. I think there's huge upside in that region for this portfolio. So I think lots of good movement happening for the portfolio at large. We just now have to get to the part where those all come to fruition, and we execute on those.
Subhalaxmi T. Nambi: I know you said there's a lot of focus on CleanCap, but could I just, if possible, add one. You said you had encouraging conversations with a customer for a shipment in early 2026. Could you provide some more color here? Like just confirming you're defining high- volume CleanCap the same way as before?
Rajesh J. Asarpota: Yes, I'll take that one. So yes, we do have an indication and a binding order for high-volume CleanCap in '26. We're not going to give you the name of the customer or any additional color yet until we've got things sorted out. But I think it's an encouraging sign. We don't expect high-volume CleanCap to return to the 2024 levels. But having said that, this is at least a step in the right direction. We are basically going to run our business just like we have done this year in thinking that anything that we get from high-volume CleanCap is really going to be more upside. All of our business is going to be managed as if we had no CleanCap in our model. So to the extent that these orders come in, there will be a nice incremental goodness to the business, but we're not counting on it.
Bernd Brust: But maybe use this opportunity to set the stage of how we label things. So high-volume CleanCap really is COVID CleanCap, right? Let's call it that. We're going to get away from that kind of terminology. High-volume CleanCap in the end, hopefully, will be many other therapeutics that go to commercialization, and we'll use our caps and other consumables to manufacture those therapeutics. So high-volume CleanCap and this question is exactly how you would have thought about it in the past. As we progress, assume that will be labeled differently, but that's just setting the stage for the future here.
Operator: We'll go next now to Kyle Crews of UBS.
Kyle Andrew Crews: Some peers have talked about multiyear headwinds in scientific R&D spend going forward. You've achieved mid-single-digit base business growth. Not commenting on the current guidance, but looking forward, how should we think about the business over the midterm and how it should -- and how your growth outlook of the business is?
Bernd Brust: I'll take a couple of comments here, and then I'll hand it to Raj. I mean, clearly, you can't feel great about the U.S. funding environment in research, specifically in mRNA. Now our business exposure today is not that significant there. We get most of our revenues from other parts of the business, including GMP and CDMO at this point, certainly from biosafety. But I think at a much broader picture for the U.S. markets, we're going to continue to see material research investments outside of the U.S. And that [ wouldn't ] be great to see where that leads for this country in the future as it relates to new therapeutics coming to market with this technology. So I think our business directly won't have material impacts, but it would be a shame to see for this market locally here not to start coming back into mRNA research in the long term.
Rajesh J. Asarpota: Yes. I think the only thing I'll add is, again, our Q2 base revenue growth was around 5%, and we are looking to accelerate that. Although like Bernd mentioned, there is variability quarter-to-quarter. But as we look at what our peers are saying, the long-term growth of this business is mid-single to high single digits, whether it's Danaher at 7% to 9%, we've heard Thermo citing market growth at about 6%, Sartorius at 8% to 12%, and Lonza at 8% to maybe 10%. So that's kind of where we see this business heading.
Bernd Brust: I think the key takeaway guys here is when it relates to GMP and CDMO, I think the markets will continue to be healthy here. There's a lot of programs out there where we are involved with. And I think there's a high level of confidence that will help us out. I think our emphasis to continue to focus on some of the non-U.S. markets in research has become ever more important with the recent news that has happened.
Operator: We'll go next now to Brandon Couillard of Wells Fargo.
Brandon Couillard: Bernd, you talked a lot about e-commerce in your prepared remarks as part of the strategic review. It's not been a topic that's, I think, come up much in the past. Do you think you were missing out on revenues before? How much of the revenue base is currently e- commerce today? And where should that be over time? And what investment do you need to make there?
Bernd Brust: Yes. It's a great question. For starters, do I think it's important? Yes, right? Today's revenue in Maravai is not very significant in the research world. And I think that's really where e-commerce helps you out. It's not that economically viable to put a large team of salespeople in the field for fairly small average order size opportunities, particularly with a fairly narrow portfolio that we have here. So it is very important. As you know, we bought Officinae earlier this year. They really have a really nice AI engine that will help design custom RNA for research customers. We just brought that live on site, I think, last week in a beta version. We expect that to go primetime later in the year. And that, I think, will be a big driver in the uptick of research consumables, specifically custom mRNA and associated consumables for the business. So critical, yes. At the moment, still a fairly small portion. In my personal background, I come out of large life sciences tools companies with much higher number of order volumes a day, much broader portfolios. I think it's even more critical there than our world. But for us, I think creating this custom mRNA world in an e- commerce fashion without any really sales involvement will become very valuable in the long term for the business. And today, you asked a question, I don't have these numbers offhand, but do we have what the total revenue coming in from e-commerce is today? It's a fairly small percentage.
Rajesh J. Asarpota: It's very small.
Bernd Brust: Yes. It's single digits is my guess.
Brandon Couillard: Okay. And then just one clarification. Based on your comments about the strategic review, it sounds as if you're pretty committed to keeping the BST business in the portfolio. I just want to make sure that it'd be safe to conclude that based on your initial assessment.
Bernd Brust: Yes. Listen, our goal as a leadership team is to create value for our shareholders. And so what that means then in the long term, whether that is selling assets or buying assets or organically investing, we're not ready to make any comments on that.
Rajesh J. Asarpota: Yes. What I would add is just basically us focusing on restructuring the company, making it profitable, just gives us so much optionality and flexibility. So all these decisions will be a lot easier once you have that optionality. So right now we are focused on growth, and that's what will deliver value to the shareholders. So stay tuned on that.
Operator: We'll go next now to Catherine Schulte of Baird.
Catherine Walden Ramsey Schulte: Maybe first, just to understand the need to take a fresh look at forecasting and budgeting. But is there anything you can talk to about near-term trends? There have been so many policy headlines in mRNA and cell and gene therapy that it could just be helpful to hear what you've been seeing in July and August and maybe how your customers are responding to some of those.
Bernd Brust: Raj, would you like to take a first stab at that.
Rajesh J. Asarpota: I think trends right now are fairly positive. We are -- again, like I think we mentioned a little while ago, like some of the CDMO business is lumpy. So we are -- again with new KPIs around trying to look at customer detail, regional details, price/volume, all those KPIs and metrics are what we're diving into. But overall, it's a reasonably positive trend that we are seeing.
Bernd Brust: Yes. And again, you got to keep in mind here, a lot of the news that's coming through on funding is heavily tied to research, right? And we just don't have a big exposure there. During COVID, we can debate right or wrong, but during the COVID years, this company was focusing purely on CleanCap business for COVID vaccine manufacturing. And a lot of the emphasis on that research was taken away during those years. We're rebuilding that up, and it's just not a big part of our base anymore. I think if we got in a world where a lot of our revenue was tied to academic research, we probably would have a different position. But we haven't heard much from customers. There's been 1 or 2 customers that I think we've heard from that may have a little bit of a funding issue, but nothing material to the business.
Catherine Walden Ramsey Schulte: All right. Great. And then you're taking steps to right-size the organization. If we look back at Maravai pre-COVID, the company had north of 40% EBITDA margins. There's obviously been a lot of capacity expansion and investment since then, plus some public company costs. But just as we think about longer term, is this still a business that can support those types of margins? Or should we think about it as structurally different today?
Bernd Brust: Well, I think it's too early for us to answer that question. I mean, for starters, for sure, we'd like to think we can get this business back to volume and profitability where it should be. I think for us, step one is to get free cash flow positive direction in our business and EBITDA growth. So let's take that step first, and then we'll go from there. Somebody asked me a question earlier here about some of the surprises of what I have seen coming in here in these first couple of months. And early indication for me was, well, prior to COVID, there was a certain cost base, and that is materially higher today. I do think that a lot of that cost is coming out. That's good. But you also have to keep in mind that we do have GMP manufacturing capabilities today that inherently are a little more expensive. They will have a little more cost basis, but it also sets you up for some really, really large deal opportunities and some high-margin consumables. So lumpiness we've been talking about. I think we are rightsized. I think we are playing with a portfolio that is incredibly well positioned for new mRNA therapeutics coming out in the future. How that will play out over the short term, I think that's what we're getting our arms around. First and foremost, again, getting this business back to profitability versus what we've seen in the last 6 months here is our first and foremost priority.
Operator: We'll go next now to Doug Schenkel of Wolfe Research.
Madeline Kendall Mollman: This is Madeline Mollman on for Doug. Regarding the risk, which is always a difficult decision in process, can you break down where the cuts were being made and also where you didn't make cuts? We just want to better understand how you're balancing cuts versus working to reinvigorate growth. And then building off of that, regarding the eliminating the CCO position, what does that mean for changes in commercial strategy?
Bernd Brust: All right. Let me take a couple pieces here. Did you say Chief Technology Officer or Chief Commercial Officer?
Madeline Kendall Mollman: Chief Commercial Officer.
Bernd Brust: Yes. So on the -- and I'm sorry, the first part of the question...
Rajesh J. Asarpota: I'll take that one.
Bernd Brust: So on the Chief Commercial Officer side, we have a very, very large commercial organization that simply needed to be scaled back to where I think the focus should lie. Given the number of larger opportunities that exist, having a very strong field sales organization is critical. So we have hired a new EVP of Sales, who will be responsible for selling all of our larger GMP manufactured products, CDMO products around the world. I think that is a specific skillset required. Secondarily, having a Chief Marketing Officer, who will take the lead in this e-commerce world that was brought up earlier becomes equally critical. I think those are 2 very, very different skillsets. A company our size, you just need to separate that out and focus on those separately. So this is nothing more than just some organizational realignment, focus on sales for larger deals, focus on e-commerce for some of this research business and executing on that. I will also say that's primarily tied to TriLink and not to our Cygnus business.
Rajesh J. Asarpota: I think the other question -- the other part of your question was around where this is -- where the reductions are coming from. So if you think about the $50 million, half of that is going to be 50% from G&A, you've got about 20% to 30% on sales and marketing, and then about 10% to 20% from R&D. So a little bit more color around -- we've consolidated these executive roles like Bernd mentioned, removed layers in the organization and centralized it to a functional alignment to improve how we work and strengthen the company's financial health. So these actions basically will streamline our decision-making, remove duplication of efforts that we've seen and just foster greater accountability as we execute and move forward. Does that answer your question?
Madeline Kendall Mollman: Yes. Great. That was really helpful. And then just one more regarding the high-volume CleanCap order you think that might come in 2026, do you need that order or other high-volume CleanCap orders in 2026 to meet your goal of being EBITDA and free cash flow positive in H2 2026?
Rajesh J. Asarpota: No, no, I made that clear. We are operating this business like we had no CleanCap. And anything that we get is going to be upside to what we are planning.
Operator: We'll go next now to Matt Larew of William Blair.
Matthew Richard Larew: You mentioned a couple of times throughout the call, you highlighted the standalone value of BST and also referenced working to create a vision for what an attractive life science tools asset would be. If we think back to how Maravai was created by aggregating 4 independent assets in different parts of the country, some of them [ fitted ] products like HCP, some of them large fixed cost reagents offerings like the NAP business in San Diego. It was sort of, as you referenced, built to be a bigger diversified company. Some of that you've pared off over the years like the protein business. Now as you think for the future, how do you think about rightsizing, which you're doing from an operational standpoint, but then rescaling, to your point, that attractive life science tools would be, do you think, building around customers as you did before, around capabilities, around geographies? I understand that it's early, but as you got together with the Board and you each accepted these jobs, what was the vision here?
Bernd Brust: For starters, I think it's a really good question. If you look at Maravai when it started, honestly, I think it was a little bit more of a holding company setup at buying good assets at good valuations and trying to optimize those accordingly. I'm not 100% sure that had a really well-thought-out exit strategy at the time, but this is 2018 or whatever, maybe even earlier, so some time ago. Why did we call out biosafety in our earnings call, I think, 2 or 3 times. I think it's just a reality. If you look at Maravai today and where it trades, that business is incredibly valuable as an asset. And 99% of the discussion we're having are on our TriLink business. So we were just trying to call that out as an asset that we shouldn't overlook. We must understand the value that, that brings. And whether we are going to sell that asset or not, as I said earlier and Raj responded to, we're here to create ultimately shareholder value. And the decisions we're going to make, whether we divest or whether we acquire other assets and leveraging our capabilities to put those together, well, that will happen. We will think about after we stabilize this organization, how can we add new assets into the business to make these assets stronger, and we'll think about whether or not some fit or not. But we are by no means ready to make those decisions today.
Matthew Richard Larew: Understood. You referenced obviously the time line for the operational changes in terms of most of them occurring by calendar year- end. It's more challenging to put time lines on strategic reviews. I get that. But there's obviously an element of an overhang, be it on employee turnover or customer conversations with this out there. Do you have any sense for a time line you'd like to hold yourself to emerge on the other end of the strategic review?
Bernd Brust: Yes. Well, for starters, I think we've been here for less than 2 months, and you've seen the massive overhaul we've done in a very quick period of time. So we are not a management team that sits on its hands very long and makes no decision. So you can safely assume that as we put these first steps behind us in rightsizing the organization to start thinking about and executing on what is the strategic plan moving forward beyond that will come rather sooner than later.
Operator: We'll go next now to Dan Arias of Stifel.
Daniel Anthony Arias: I was going to ask a question about M&A there, but I think you kind of covered that. So maybe I'll just ask one. On the fixed cost base of the company, that's been a bit of an issue for margins at times when the top line view changes. Do you see it as possible that the company can come to better absorb deviations at the revenue line? Is that something that you think can evolve? Or is it just sort of the nature of the business such that you're kind of beholden to the way fixed costs are set up for the company?
Bernd Brust: I'll take a macro look at this. This is may be something we need to have as a follow-up call to get exact numbers to you. But, obviously, this business has built a ton of infrastructure over the last years, and that does give you a bit of a hangover when your revenue materially changes. When we look at our cost savings, our old corporate offices in San Diego that has not been used now for some time, that leases up, I think, in September next year, so that'll fall away. We have some other facilities. We're looking at potential other opportunities to work with. But rightsizing that part, although it's not the largest part of our restructuring, I think it's partially decided on in other areas we may think a little bit longer about. Somebody asked a minute ago about are there potentially European or Asian pharmaceutical companies that need some U.S. footprint. We have some facility space here that we could use for that. So instead of actively getting out of that type of infrastructure, you want to breathe a little bit to see what happens in the next 6 months or so. But I think in general, we feel good about sizing the organization right with our infrastructure over the next 6 months.
Rajesh J. Asarpota: Yes, which will give us more flexibility on gross margin, for sure, and operating margin.
Operator: We'll go next now to Matthew Parisi at KeyBanc Capital Markets.
Matthew Moriarty Parisi: This is Matt Parisi on for Paul Knight at KeyBanc. I was wondering if you could go into more detail on the expanded CDMO enablement strategy that you mentioned in your press release regarding the new license and supply agreement for CleanCap with Thermo Fisher.
Bernd Brust: Raj, I'm not sure what was his question. CDMO and licensing on CleanCap? That's specifically the Thermo one. Listen, I think that's just another example of CleanCap being used not just by our own CDMO capabilities, but broader CDMO as well as pharmaceutical manufacturing. Clearly, that's one of our -- if you look at our consumable space, our GMP consumable space, I think as many targets out there, whether they are manufactured by a pharmaceutical company or whether they're manufactured by a CDMO, ours or somebody else's, we want CleanCap to be used as much as possible. And this agreement was just another licensing agreement with Thermo, and that will hopefully lead into a number of opportunities beyond what we have today.
Operator: We'll go next now to Justin Bowers of Deutsche Bank.
Justin D. Bowers: Just a 2-parter for me. You talked about the preclinical market earlier in the prepared remarks. Can you discuss some of the trends that you're seeing in either the order book or the RFP volume over the last, call it, 6 to 12 months? And then part 2 would just be on the broader commentary on mRNA. Are you starting to see opportunities ex-U.S. as a result of some of the announcements in the policy and regulatory environment since last November?
Bernd Brust: Yes. I'll give you more of a macro answer and then maybe, Raj, you have more some specifics. I'm not sure what we have in front of us here. But I think if you look at the broader market, there's no question that the number of targets that are out there that are appearing in preclinical moving their way through Phase I, II, III, is a solid number. When you look, for instance, at our Q2 numbers, although still in research, it's mainly GMP consumables that are picking up there. So I think there's good activity there. Much of it still sits in the U.S., quite frankly. But as we look at our funnels outside of that, I don't know the exact numbers here, but we're seeing great growth as it relates to GMP manufactured consumables, which all sits in clinical trial stages. If I recall, in Q2, our research growth primarily came from GMP consumables.
Operator: Thank you. And gentlemen, it appears we have no further questions this afternoon. Mr. Bernd, I'd like to turn things back to you, sir, for any closing comments.
Bernd Brust: Thank you. Again, thank you, everybody, for joining us today for my and Raj's first conference call since joining Maravai. As we outlined in the prepared remarks, there's much work to do but we're well underway. Through organizational restructuring, cost reduction initiatives, we are focused on driving speed, accountability and operational excellence across the portfolio to fundamentally transform our business model. These are structural wholesale changes to how Maravai operates from headcount and organization design to cost base and accountability. The unique value we offer in our portfolio of our brands provide our customers with life- changing development of the next-generation medicines and diagnostics is unmatched, and we will focus on areas where we see the highest return to drive growth and diversify the business. I believe we can build a stronger, more focused company for long-term sustainable growth, beginning with a return to positive adjusted EBITDA and free cash flow in 2026. Thank you again for all your questions and your time and the interest in Maravai. Take care, everybody.
Operator: Thank you, Mr. Bernd. Again, ladies and gentlemen, that will conclude today's Maravai LifeSciences Second Quarter Earnings Call. Again, thanks so much for joining us, everyone. We wish you all a great evening. Goodbye.